Operator: Greetings and welcome to the Rexford Industrial Realty Trust Third Quarter 2013 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Steve Swett of ICR. Thank you, Mr. Swett, you may begin.
Stephen Swett: Good morning. We would like to thank you for joining us today for Rexford Industrial Realty’s third quarter 2013 earnings conference call. In addition to the Press Release distributed this morning, we posted a quarterly supplemental package with additional details on our results in the Investor Relations section on our website at www.rexfordindustrial.com. On today’s call, management remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are usually identified by the use of words such as anticipates, believes, estimates, expects, intends, made, plans, project, seek, should, will and variations of such words with similar expressions. Forward-looking statements address matters that are subject to risk and uncertainties that may cause actual results to differ from those discussed today. Examples of forward-looking statements include those related to revenue, operating income or financial guidance. As a reminder, forward-looking statements represent management’s current estimates. Rexford Industrial assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the company’s filings with the SEC. In addition, certain of the financial information presented on this call represents non-GAAP financial measures. The company’s earnings release and supplemental information package which were released this morning are available on the company’s website present reconciliations to the appropriate GAAP measures and provide explanation as to why the company believes such non-GAAP financial measures are useful to investors. This morning’s conference call is hosted by Rexford Industrial Realty’s Co-Chief Executive Officers, Michael Frankel and Howard Schwimmer together with Chief Financial Officer, Adeel Khan. They will make some prepared remarks and then we will open the call for your questions. Now I will turn the call over to Michael.
Michael S. Frankel: Thank you and welcome to Rexford Industrial’s third quarter 2013 earnings conference call. I will begin with a brief overview of our operating strategy and third quarter portfolio results. Howard will then provide an overview of our markets and recent investment activity. And Adeel will then follow with more details on our third quarter financial results and an update on our balance sheet. Rexford Industrial is the only pure play publicly traded industrial REIT focused solely on Southern California, the largest most diverse industrial market in the nation. In addition to sheer size Southern California combines a unique plan of strong underlying demographic route, a large and vibrant base of manufacturing and distribution driven businesses and the nation’s two busiest ports. Our target Southern California infill markets have historically demonstrated among the highest occupancy and highest rental rates of any industrial market in the nation with many of our primary target submarkets in the Greater Los Angeles and Orange County markets currently performing at 95% to 98% occupancy. Furthermore our core markets are highly fragmented. We continue to leverage our decades of experience and relationships, unique origination methods and exclusive Southern California focus augmented now with our flexible public company capital structure to originate accretive investments. Howard will elaborate on our deep and active pipeline as demonstrated by our recent acquisitions. The most recent of which was announced earlier this morning. Turning to our third quarter 2013 operations, our portfolio continues to perform well. The total consolidated portfolio was 88% occupied at the end of the quarter, our stabilized portfolio was 89.5% occupied, while two properties representing approximately 140,000 square feet that are still in lease up or renovation stages with 32.6% occupied in the aggregate. On a same property basis we generated a 17% increase in third quarter revenue as compared to the prior year period which was driven primarily by an improvement in average occupancy. Same property operating expenses increased 12%, driven by an increase in variable overhead expense due to our increased occupancy. As a result same property portfolio NOI increased 19% year-over-year. On a cash basis our same property portfolio NOI was up 15% year-over-year. With regard leasing for the consolidated portfolio we signed a 115 leases accounting for approximately 339,000 square feet during the third quarter including 57 new leases and 58 renewals. Year-to-date Rexford Industrial has leased 1.5 million square feet. As a side note at the end of the third quarter, we had leases representing about a 101,000 square feet which have been signed but for which the tenant is not yet in occupancy. Along with the overall improvement in our leasing percentage and occupancy we’re seeing positive rent spreads as well. GAAP rental rates on comparable new and renewal leases were 6.7% higher expiring leases. As we continue to benefit from the gradual reduction and concessions that is occurring across our markets. On a cash basis rents rolled down 1.1%. Cash releasing spreads were impacted by a 20,000 square foot lease renewal with the target in San Diego. Excluding this one lease cash renewal spreads would have been positive 2.3%, an overall cash releasing spreads for new and renewal leases would have been positive 0.4%. Overall 95% of our renewals were executed with cash releasing spreads that were flat to positive. I will now briefly address the recent filings related to our reallocation of interest to our pre IPO investors. This accommodation was designed to rebalance the allocation of Rexford equity at the IPO between management and our legacy investors. We are pleased to report that this accommodation is achieved to broad support of our pre IPO investors. As of today 93% of our pre IPO investors representing over 94% of their aggregate committed capital have signed onto the accommodation. As the accommodation remains available for pre IPO investors through the end of November, we believe it is possible that the overall support for the accommodation may continue to increase. Overall, and I believe I speak for our entire management team, we are exceptionally excited at the operating and growth prospects as we head towards 2014 and with that I would like to turn over to Howard.
Howard Schwimmer: Thank you, Michael, and thank you everyone for joining us today. On the call today, I will update you on our markets and review of our recent transaction activity. Beginning with an update on Southern California markets, market dynamics overall are continuing to improve and we believe our portfolio is well positioned to capture favorable internal NOI growth as recovery continues. According to CBRE in the third quarter, the Southern California industrial market recorded positive net absorption and occupancy gains across Los Angeles, Orange and San Diego counties. The improvements in net effective rents, we’re seeing across our markets which is beginning to have an impact on our operating cash flows and there should be further upside potential as rental rates and our infill markets remain approximately 15% below prior peak level. Potential for market rental rate recovery going forward should continue to drive favorable internal growth metrics in our portfolio. Moving on to our transaction activity, we continue to see a steady flow of opportunities within our core infill markets from a variety of different sources. As we have discussed previously we believe our unique sourcing methodologies and market relationships are truly would set us apart from others within our markets. These advantages have allowed us to both win marketed sales and to originate off market investment opportunities from a wide variety of sources. In fact, since our formation, almost 50% of our investments have been off market transactions. We believe that the balance sheet and the liquidity we have now as a publicly traded company, only surge to increase our acquisition advantages. With these factors in mind, let me review our recent transactions. In August, we acquired two properties Tarzana and Orion in the San Fernando Valley in an off market transaction from a seller who had inherited the properties that lacked the desire to actively operate them. The representative of the opportunities arising from generational transitions and ownership that we see occurring across our infill markets. The properties had been under managed and were only 84% occupied. We have already made great progress implementing our management and operating programs to increase occupancy and address deferred maintenance. More recently, subsequent to the end of the third quarter, we announced the acquisition of two Orange County properties. Few weeks ago, we acquired a four building industrial complex containing 115,000 square feet located in Yorba Linda, California and just this morning, we announced the acquisition of a six building industrial park containing a 120,000 square feet located in Anaheim, California. We acquired the Yorba Linda property for $12.7 million in a lender auction in which our ability to close quickly without a financing contingency were decided advantages. This property is currently 79% occupied and we believe we have a significant opportunity to create value by improving occupancy and cash flow to implementation of our operating strategies. The Anaheim property was purchased for $10.6 million in an off market transaction facilitating the dissolution of a partnership due to a generational change and ownership. This project with 85% occupied at closing and had significant upside through additional lease up and rent growth as we reposition this property. Yorba Linda and Anaheim are located in North Orange County which is a core highly sort after infill market. Year-to-date, we had acquired eight industrial properties for $111 million including four properties for $37.3 million since our IPO in July. We continue to have a substantial pipeline of additional opportunities that are in active pursue including three properties currently in Escrow. We remain on target to meet or exceed our near term growth objectives. As we move into 2014 and beyond, we remind you that there is more than 1.6 billion square feet of infill industrial space within our target infill Southern California markets. In addition to favorable macro demand drivers, these infill markets enjoy the dynamics of proximity population concentrations and significant barriers to new constructions. With our decades of experience and exclusive Southern California focus, combined with our unique originations capability and strong public company balance sheet, we expect that we will continue to be a significant consolidator within the highly fragmented infill industrial market for years to come. In summary, we remain on track for another year of strong growth and with our strong balance sheet we are well positioned to continue to execute on our growth strategies going forward. I will now turn the call over to Adeel to discuss our third quarter results, balance sheet and financing activities.
Adeel Khan: Thank you, Howard. In my comments today, I will first review our operating results for the third quarter. Then I will review our balance sheet and recent financing transactions. As we reminded the company IPO took place in the third quarter, so this quarter result include a portion of the period which represent our [Indiscernible] business. Starting with the third quarter results. Our results for the third quarter 2013 included period prior to the completion of our IPO and our results for the third quarter 2012 are entirely the results of [Indiscernible]. For the fiscal 90 days period from July 24, 2013 which were the effective date of our IPO through the end of the quarter Rexford Industrial reported company’s share of $3 million or $0.12 per fully diluted share which is in line with the expectations. Our results included the benefit of lower interest expense due to reduced debt combined with the impact of acquisitions during the quarter. These approximately offset by the public company costs associated with our initial public offering in July. Turning now to our balance sheet and financing activities. At September 30, Rexford Industrial had total consolidated debt outstanding of approximately $122.8 million. Our consolidated debt includes approximately $107.9 million of secured property debts. Most of this debt is variable rate financing with an average current interest rate of 2.21%. Our $200 million unsecured credit facility had a balance of $14.8 million at the end of the third quarter and on a pro forma basis including funding for the acquisition subsequent to the quarter end which Howard detailed the balance today is $35.4 million. As a reminder, our unsecured revolving credit facility has an according feature that allow the company to increase the facility to $400 million subject to certain requirements. We believe our balance sheet remains a significant point of strength for the company. With the pro forma debt to market capitalization at 28% and $94.8 million of needed capacity on our revolving line of credit. Going forward we expect to maintain a strong balance sheet with ample capacity to support our growth strategies. With that we will open the call for your questions. Operator?
Operator: Thank you. We will now be conducting the question-and-answer session. (Operator Instructions) Our first question is from the line of Nikhil Bhalla with FBR. Please proceed with your question.
Nikhil Bhalla – FBR Capital Markets: Yes, thank you and good morning everyone. Michael, I just wanted to ask you a little bit about you mentioned three properties in Escrow right now, anything you want to share in terms of the value of these properties?
Howard Schwimmer: Hi Nikhil, it's Howard Schwimmer. I will answer your question. We generally don’t like to go into too much detail on specific projects in Escrows that we are still in the due-diligence period. We are really excited about the pipeline now. We never have been busier in terms of underwriting deals, negotiating deals and I think we are days or minutes away from some really interesting deals even more than what we have in Escrow coming together. But it just has been our policy to really announce acquisitions upon closing of Escrows.
Nikhil Bhalla – FBR Capital Markets: Sure. No problem. Just looking out to next year, you talked about your acquisition pipeline looking pretty strong, I think, initially the way you had modeled was you are thinking about 250 million of acquisition for next year somewhere in that ballpark, does that still seem like a realistic range for you for next year?
Howard Schwimmer: Well, think about what we did this year so far we have done $111 million, the year is not over and we have done a lot of things in the pipeline and with our new balance sheet we are that much more competitive in the market in terms of just the penetration we have and years of experience and relationships, the public company balance sheet really has made a tremendous difference in what we are seeing now. So I think going forward, we have greater expectations of performing significantly well in the market.
Nikhil Bhalla – FBR Capital Markets: Okay. Just shifting gears to taxes, real estate taxes have been going up in many jurisdictions. Any specific thought on how you see tax increases going into next year?
Howard Schwimmer: California, its 13 so we don’t see annualized reassessment. So we don’t feel like there is any exposure perhaps in what you are referencing.
Nikhil Bhalla – FBR Capital Markets: Okay. In many jurisdictions even in California I’ve seen property taxes have jumped actually 6%-7% recently, do you have a sense of the property taxes maybe starting to catch on to you maybe going next year?
Howard Schwimmer: I think maybe what you are referring to is you look at data on the tax role and collections. A lot of that has to do with property transactions in general where there is more product changing hands and there has been a reset to the basis of those properties which would then lead to the tax increases. But in terms of ourselves and our portfolio, I think what you are referencing is really something that would – wouldn’t be an impact on ownership of existing assets.
Nikhil Bhalla – FBR Capital Markets: Okay. Final question for Adeel, you talked about the credit facility balance right now that’s $34.4 million, correct?
Adeel Khan: $35.5 million.
Nikhil Bhalla – FBR Capital Markets: $35.5, all right that’s all I have, thank you.
Michael S. Frankel: Thank you, Nikhil.
Operator: Thank you. Our next question comes from the line of Jimmy Feldman, Banks of America. Please proceed with your question.
Unidentified Analyst: Hey guys this is actually Steven with Jimmy Feldman, I just had two questions for you guys. The first was with the same store pool, looking at your press release and your supplemental, it looks like same store decline sequentially, but I wanted to confirm that this was actually sequential same store number from 88.5 to 87.3 because it look like the number of properties is just changing on June 30 to September 30?
Adeel Khan: This is Adeel, just to – the same store pool change by one property, we incorporated the [Indiscernible] property that was purchased in May 2012 of 37,992 square feet, a very small property that rolled into the mix this quarter for the same store. The primary driver for the down pick in the occupancy is due to one lease at Mulberry that we lost during the quarter of 97,000 square feet. And that was partially offset by great leasing in other portfolio it’s that what you are seeing in the quarter-over-quarter comparison for the same store.
Michael S. Frankel: Another thing to point out on that is lot of the leasing that we did would have been in product that we own now that was in same store. So we did have a great quarter in terms of up leasing just not as much as it occurred in the same store product.
Unidentified Analyst: Okay. And then the other question was on your retention rate, could you just talk a little bit more about why retention rate was 59% versus the last couple of quarters there is much higher rate of 70% in that area?
Michael S. Frankel: Yes, it’s probably really the same comment with that Mulberry lease. If you look at retention for the quarter and if you normalize not excluding the Mulberry lease, your retention was about 89% on square footage and about – and with the Mulberry lease it was 71% by tenants. So again that was the primary factor. And the Mulberry property is one of the highest occupied markets in Southern California mid counties. Its good space and we have tremendous activity on it so we are hoping to consummate a lease on it in the near term.
Unidentified Analyst: Okay. Thanks guys that’s it from me.
Operator: Thank you. Our next question comes from the line of Brendan Maiorana of Wells Fargo. Please proceed with your question.
Brendan Maiorana – Wells Fargo Securities: Hey thanks. Good morning guys. Probably Michael or Howard so if I think back to the occupancy progression that we kind of talked about around the time of IPO, I believe that Q3 was expected to be somewhat of a volatile quarter and maybe it was this Mulberry lease that was always anticipated to move out but if I sort of think about the occupancy targets that we had spoke about a couple of months ago, I think year end 2013 was maybe expected to be give or take around 90% and then additional progression into the low to mid 90s by year end 2014. Do you still think that those are reasonable targets over the next five quarters or so?
Michael S. Frankel: Yes, it's Michael. Those are reasonable targets generally speaking and the one factor that is important to consider it's hard to anticipate as you can't – it's hard to anticipate in the acquisition activity how that mix of new properties may settle in terms of their occupancy and honestly those properties we were acquiring have slightly lower occupancies than our overall portfolio represent opportunities for us and values of lease of properties but at the same time that’s going to impact your reported results on the period. So for example, we acquired Tarzana which was a 75,288 square foot property during Q3 which was only 81% occupied at the time of acquisition so naturally that’s going to drawdown your occupancy during the current period whereas it represents the value as opportunity going forward to increase cash flows through increased occupancy. So I think we would confirm and they were comfortable with the projections, with the one caveat that when we are buying opportunities with value add or lease up and addendum that you may see some variations depending on the acquisition activity.
Howard Schwimmer: And really today if you look at our un-commenced leases, we are 89.8% leased and carrying Michael’s example further we just announced these two acquisitions in Orange county but if you look at our Orange county portfolio today we are – at the end of third quarter reported 92.6% occupied as of today that portfolio is 95.7% occupied, of course, excluding these two last acquisitions.
Brendan Maiorana – Wells Fargo Securities: Sure. Yes, that’s helpful. I solely speaking about kind of the existing portfolio that stood at 9:30, so that’s the helpful color. It appeared that sort of your cash rent spreads got a little bit better in the quarter, but your GAAP rent spreads declined a little bit and is that if this were kind of a large pool of sample leases that would suggest that maybe the in place rent pumps were a little bit lower this quarter than had been in the past, is this just more an effective small number of leases or is there or the bumps that were done in this quarter but moved a little bit lower than what they had been previously?
Adeel Khan: I will take the first part, this is Adeel. It's the combination of pretty much everything that you just described. I think a quarter-over-quarter we are also seeing the market sort of settling in a little bit. In the last quarter, which is expense in GAAP rent Q2 event and lot of leases were sort of coming out. So you are starting to see that settled in a little bit on the GAAP rent perspective. So I think the formula includes all the components that you just described and we can certainly talk about specific if you like it goes on any further, but I think the key thing is that there is still trending positive from the expiring rents and then the cash is where you’re starting to see improvement.
Brendan Maiorana – Wells Fargo Securities: And how do you guys feel about how the market has progressed over the past three months or so and are you actively trying to push rents a little bit more than maybe you were at the early part of this year?
Adeel Khan: Yes, we absolutely are pushing them. And the spreads are definitely moving in our favor. And it's really market, specific submarket by submarket and it's project by project. Some of them are moving faster than others. But I think the GAAP spreads are really a key indicator because concessions are substantially down and if you recall the sort of the big box type product was earlier to recover, and today we are seeing rent growth really across the board, but when you look at CB puts out different projections and today there is still projecting our market, these infill markets are about 15% under peak presently.
Brendan Maiorana – Wells Fargo Securities: Okay, great. And then last one this is probably for Adeel again. The quarter obviously included the IPO with a little bit messy from a reported bottom line number but if we just sort of take the performance of the read from the July 24 IPO, is that a good run rate to you as we think about the earnings progression going forward or is there anything unusual that might have happened between July 24 and the stuff period?
Adeel Khan: I think that’s a great run rate and I think if you perform at that number strictly speaking just using the FFO, that comes around $0.60 per fully diluted share and I think the only caveat that I will talk about which we spoke about in some of our press releases, the accommodation we have lot of -- $200,000 legal fee that’s not non-recurring thing. So essentially it betters that number but other than that I think that’s a pretty good run rate to use going forward.
Brendan Maiorana – Wells Fargo Securities: Okay, great. Thanks for the color.
Operator: Thank you. (Operator Instructions) our next question is coming from the line of Michael Mueller of JPMorgan. Please proceed with your question.
Michael Mueller – JPMorgan: Thanks. Hi! Few questions here. Speaking with the G&A for a second, so I think you said there is about 200,000 that was non-occurring legal fee in the quarter. I mean how much of that is going to be in Q4 and what's the good near term recurring clean run rate legal fees acquisition cost?
Adeel Khan: Acquisition cost, this is Adeel. Acquisition costs could be lumpy I would say depending upon the size of the acquisition, how many acquisitions were done within the quarter. So it's really premature for me to talk about that but from a G&A perspective, we believe the accommodation is going to come to close here in November and we feel that that’s going to taper off within the current month. So I don’t expect that number to be any higher than what it was in the previous quarter or this quarter. So essentially, Q4 will be the last time we report any other legal fees on that relationship. Michael Mueller – JPMorgan Okay. So it's not – aside from the legal fees, what's the good kind of recurring run rate for G&A then?
Adeel Khan: I think as previously stated, if you take the Q3 stuff here that we recorded, which is I stated at 200,000 in the legal fees, we can go back that out essentially to get to a run rate.
Michael Mueller – JPMorgan: Okay. And then can you just walk through what the exact share because I know there is a little bit of change, the shares and units will be on a go forward basis post the reclassification or reshuffling of units?
Michael S. Frankel: Sure I can give you these numbers. These were as of most recent as a product. So the common shares have changed to – the current share count is 25 million 381,658, the common units are currently at $3 million 54,689. So those you can see the redistribution effects caused by the accommodation that have changed those mix.
Michael Mueller – JPMorgan: Okay. On a fully diluted basis though the share count changed on that, right the fully diluted number will change?
Michael S. Frankel: Right, right. So the fully -- and then the last component that I can add to that is the restricted stock count to 244938 so the total share count 28 million 681285 so that the percentage is 2.37 actually.
Michael Mueller – JPMorgan: Okay. Got it. And last question going back to the portfolio occupancy rate, on a same-store basis, just same-store portfolio you are talking about here what was the sequential change from Q2 to Q3, I apologize if you said I missed it and then on that basis, do you still expect – that 87.3 to get close to 95 by year end? I know that was partially a prior question but just want to be a little more clear here?
Michael S. Frankel: So the same store I think end of Q2 was 88.5%, end of Q3 was 87.3% and on the second part of your question, you know, we currently monitor our lease expirations, we are working with tenants, with expirations that come up probably couple of quarters in advance. So we are seeing through to the end of the year. We don’t feel that we have really any significant risk in further vacancy. We have been doing pretty good on our leasing. We are net positive so far. So it's possible we will be darn close or at the 90% in the end of the year.
Michael Mueller – JPMorgan: Okay. And what specifically drove the occupancy dip, I guess from Q2 to Q3 was one lease so just handful of them?
Michael S. Frankel: No, it’s really this one lease. This property in Mulberry were just in the spring, it was at 97,000 square feet so that’s how it space in our portfolio is impactful. We have done a fantastic job though in gaining back that occupancy through leasing of lot of our multi tenant projects. We are anticipating leasing in the Mulberry space in the near future. As I mentioned, in a great market area and we do have a lot of activities on it.
Michael Mueller – JPMorgan: Okay, great, thanks.
Operator: Thank you. At this time we have come to the end of our question-and-answer session for today. I will now turn the floor back over to management for closing comments.
Michael S. Frankel: Thanks everybody for joining us today. We appreciate it.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. We thank you for your participation.